Operator: Good afternoon, ladies and gentlemen. At this time we would like to welcome everyone to Braskem’s Second Quarter 2014 Earnings Conference Call. Today with us, we have Carlos Fadigas, CEO; Mario Augusto Da Silva, CFO; and Roberta Varella, Head of Investor Relations. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company’s presentation. After Braskem’s remarks are completed there will be a question-and-answer session. At that time further instructions will be given. (Operator Instructions). We have a simultaneous webcast that may be accessed through Braskem’s IR website, www.braskem.com.br/ir. The slide presentation may be downloaded from this website. Please feel free to flip through the slides during the conference call. There will be a replay facility for this call on the website. We remind you that questions, which we will be answering during the Q&A session, maybe be posted in advance on their website. Before proceeding let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on beliefs and assumptions of Braskem management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Braskem and could cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the conference call over to Roberta Varella, Head of IR. Ms. Varella, you may begin your conference.
Roberta Varella: Good afternoon, ladies and gentlemen. Thank you for participating in another Braskem earnings conference call. Today we’ll be commenting on our results for the second quarter and first-half of 2014. We would like to remind you that pursuant to Federal Law 11638 as of 2007 the results present in today’s presentation reflect the adoption of International Financial Reporting Standards. Note also that due to the decision to maintain its investments in Quantiq, which is the company responsible for chemical product distribution, Braskem restated its consolidated quarterly results for 2013 to include the results of this operation. The financial information in today’s presentation was reviewed by the independent external auditor. Let’s go to the next slide please where we will begin our comments. On slide three, we present the highlights of the second quarter of 2014. The average capacity utilization rate of Braskem’s crackers in the period was 84%, down one percentage point from the first quarter, which is explained by the scheduled maintenance shutdown of the main line at the cracker in Triunfo from mid-March until April and by the ongoing problems with fixed stock supply at the Rio de Janeiro site. The Brazilian market of thermoplastic resins reached at 1.3 million tons, down 3% from the first quarter reflecting the slowdown of the Brazilian economy. Braskem’s sales followed this trend and also declined by 3%. When compared to the second quarter of 2013 [appear that] benefit from inventory rebuilding and a good performer from some sectors Brazilian demand decreased by 80%, while Braskem sales fell 7%. Consolidated EBITDA in second quarter of 2014 was R$1.1million, an increase of 6% from the same period last year explained by the recovery in petrochemical spreads in the international markets and the Brazilian real depreciation. Compared to the first quarter recurring EBITDA there was 17% decrease. The main factors contributing to these results were the reduction in petrochemical spreads in the international market, the average Brazilian real appreciation and the sales mix of the Brazilian operation. In this context, net income in this quarter came to R$124 million. Braskem’s leverage, as measured by the ratio of net debt-to-EBITDA, in U.S. dollars stood at 2.73 times practically unchanged from the previous quarter. In line with the company’s strategy to diversify feedstock profile and make it more competitive the construction of the Mexico project continued to advance, with the complex physical completion reaching 75%. Pre-marketing activities also advanced with the number of clients already reaching around 200 clients. As part of its commitment to developing the Brazilian plastic chain Braskem has advanced in the program created jointly with the industry known as PIC, Plastics Chain Competitiveness Incentive Plan. As part of the initiative the company and his clients participated in Agrishow, one of the largest trade fairs in agribusiness to show case innovation in plastic such as [airbag plastic strip bodies] and many others. Let’s go now to slide four. The slide number four shows the performance of the Brazilian market of thermoplastic resins and Braskem sales. In the second quarter of 2014, Brazilian demand for thermoplastic resins fell by 3% in relation to the previous quarter, influenced by the economic slowdown and decelerating industrial production which was also impacted by the fewer number of working days during the World Cup. Braskem sales followed the market dynamics and total 879,000 tons. The company’s market share stood at 67%, similar to the first quarter. Compared to the second quarter of 2013 when there was an inventory reviewed in the chain and growth in some sectors such as automotive, agribusiness and infrastructures the market contracted by 80% while Braskem sales fell by 7%. In the first-half of the year Brazil thermoplastic resin demand totaled 2.6 million tons decreasing by 3% from the same period last year. Braskem sales followed this trend and contracted by 5%. Let’s go to the next slide please. The slide five details factors that influenced EBITDA in the second quarter of 2014 compared to the previous quarter. Braskem’s consolidated EBITDA was R$ 1.1 billion, decreasing by 17% from the first quarter on a recurring basis. The decrease is mainly explained by the reduction in petrochemical spreads in the International market, the sales mix of the Brazilian operation, which were partially offset by the good performance of the U.S. and Europe business units. The 6% average appreciation of Brazilian real against the U.S. dollar was another negative factor that impacted the results in R$128 million which were influenced by a negative revenue impact of around R$443 billion and a positive cost impact of R$315 million. In U.S. dollar EBITDA in the quarter was $507 million, down 12% from recurring EBITDA in the first quarter and in line with EBITDA presented in the same period of 2013. Let go now to slide six. This slide presents the factors that influenced EBITDA in the first half of 2014 compared with the same period last year. Braskem’s consolidated EBITDA reach R$2.8 billion, growing by 37% on the [first half] of 2013. On a recurring basis increase was 24%. The result was mainly due to the recovering thermoplastic resin spreads in the international market and the 13% appreciation in the U.S. dollar which generated again R$610 million influenced by a positive resin impact of R$2.6 billion and the negative cost impact of R$2 billion. Let go now to slide seven. This slide shows Braskem’s debt profile. Since the investment made in the Mexico project by the subsidiary Braskem-Idesa is financed under our project finance model, with debt to be paid using the project’s own cash generation, the debt analysis presented here does not consider this financial structure. In this context on June 3rd, Braskem gross debt stood at [$8] billion, increasing the 1% from the balance on first quarter. In Brazilian real, gross debt decreased by 2%, reflecting the impact from the 3% depreciation in the dollar and between the two periods. Gross debt denominated in U.S. dollars was 69%. Meanwhile, the balance of cash and investment totaled $1.4 billion, practically stable when compared to the balance at the previous quarter. The company however, maintained three revolving standby credit facilities, which do not include any respective covenants on withdrawals during times of adverse markets, and which were not tapped in the period. As a result Braskem’s net debt stood at $6.7 billion. In Brazilian real, net debt fell by 2% to R$14.7 billion. Net denominated in dollar was 75%. Financial leverage as measured by ratio of net-debt-to-EBIDTA and U.S. dollar ended the quarter at 2.73 times. In Brazilian real the leverage ratio stood at 2.62 times, decreasing by 3%, impacted by the Brazilian real appreciation between the periods. On June 3rd the average debt term was close to 15 years, in line with the term registered at the end of the first quarter. Considering only dollar-denominated portion of debt, the average debt term was around 21 years. Only 5% of total debt matures in 2014 and the company’s high liquidity ensures that its cash and cash equivalents cover the payment obligations maturing over the next 26 months. If we consider these standby credit facilities as well, this cover extends to 28 months. Let’s go to the next slide. Slide eight shows the growth projects of Braskem. In line with the company’s strategy to diversify its feedstock profile and make it more competitive the construction of the integrated projects which is polyethylene in Mexico continued to advance, with the complex physical completion reaching 75%. Over 50,000 tons of material and 640 pieces of equipment have already been delivered to the site and around 560 people have already been hired to run the future operation. Regarding the project financing structure, by the end of the first half the subsidiary Braskem-Idesa had withdrawn [inaudible] of project finance in the total amount of $2.5 billion. The project, which will start operations in second half of 2015 is the first greenfield project to be commissioned in North America and will use competitively priced – produced polyethylene. In addition to feedstock competitiveness another advantage of the project is its focus on serving the growing demand for polyethylene in Mexico’s domestic market, which currently is a net [western] market and has 70% of demand supplied by the imported material. Regarding the Ascent project progress continued to be made on the engineering studies, and a new supply agreement was signed with Range. Considering the contract already signed with Antero, around 50% of the feedstock required by the project has already been secured. Note however that this mid-term deposits ownership structure is still pending. In July Braskem announced the construction of a new line to produce ultra-high molecular weight polyethylene at its site in La Porte, Texas. Known commercially as UTEC the resin was developed using 100% Brazilian technology and has application across a wide range of industries, such as oil concession, military equipment and construction. The new unit is expected to start to production in the first half of 2016 and It’s goal is to complement the portfolio produced in Brazil. In line with its commitment to invest in maintenance and improvement of the operational efficiency of these assets Braskem increased the capacity of its plants in Seadrift, Texas by around 40,000 tons bringing capacity to 225,000 tons. Let’s go to slide nine please. This slide shows CapEx in the first half of the year. Maintaining its commitment to make investments with returns above the cost of capital, Braskem invested around R$1.3 billion in the period. Of this amount, around 65% was allocated to operation, including part of disbursement for scheduled maintenance shutdown and around 30% was allocated to the construction of the new petrochemical complex in Mexico. Other expenses are related to other projects announced by the company such as investments for the production of UTEC at the La Porte site in United States and the conversion expansion of one its polyethylene production line in Bahia to produce based metallocene-based. It’s important to remember that investment in the Mexico projects shown here does not include the resources from the project finance or from the minority shareholders of the project. For 2014 Braskem investments are estimated around R$2.7 billion. Let’s go to the next slide please. The slide 10 covers the prospects for the petrochemical industry end market as well as the many areas management is currently focusing on. The revision of U.S. economic growth in first quarter due to the harsh winter and the lower growth in emerging markets led International Monetary Fund to revise downward its forecast for world GDP growth in 2014 from 3.6% to 3.4%. The outlook for medium and long-term however remains positive with United States showing signs of recovery already in the second quarter and trying to respond with the new stimulus policies to support the more sustainable growth. Europe after two years of economic slowdown is also finally in growth in 2014. The risk factors to the global scenario are associated with the geopolitical issues in Ukraine and Iraq. In Brazil, the macroeconomic outlook is more challenging. According to the latest survey published by the central bank its forecast for GDP growth in 2014 was revised downward to 0.86% reflecting the economic activity reduction. It’s expected however that the government continued advancing in measures enabling the resumption of the economic growth. The short-term outlook for the global petrochemical industry remains positive. The market’s fundamentals points to spreads at levels in line with prior quarters with the expectation of a balanced market between supply and demand. In this context Braskem spreads continues to focus on developing Brazil petrochemical and plastics chain and on investing in project to diversify its stock profile and improve its competitiveness in the global [cost through], the construction of the integrated petrochemical complex in Mexico to produce polyethylene and the progress on the study for the Ascent project. The company also remains focused on investments in innovation with the development of new application and efforts to support the growth of the plastic manufacturing industry, its continued pursuit of higher operating efficiency by increasing its capacity rates, concluding the acquisition of controlling interest in Solvay Indupa and maintain its financial health and cost discipline. That concludes today’s presentation. So let’s go now to the question-and-answer session.
Operator: Thank you. (Operator Instructions). Mr. Frank McGann from Bank of America would like to make a question.
Frank McGann – Bank of America Merrill Lynch: Hi. Good afternoon. Two things I may. One is just if you could may be comment a little bit on what you are seeing so far in third quarter in terms of demand levels and the overall trends? Things overall seem to be fairly weak not just to yourselves but for others. And I just wanted to see if you see that continuing? And then secondly, in terms of the gas market in Brazil and the long-term competitiveness, I know you have focused often on the need for better pricing. But I was wondering how you are seeing that right now? How are you seeing the potential for gas and the compares project together as a long-term way to continue to diversify your feedstock mix?
Carlos Fadigas: Hi, Frank. This is Carlos Fadigas speaking. Regarding the third quarter, your first question, as you know we had a weak demand on the second quarter. The fact that we had the FIFA World Cup in the country, actually it was a big event mobilizing several large cities, and we ended up having less working days in the month of June. So we felt at the end of the first quarter that some of the demand for the second quarter had been anticipated into the first quarter and some of that would be postponed to the third quarter. So far we only have the month of July finished. And what we saw in the month of July was in line with what we expected a better quarter, naturally seasonality in Brazil is one that the third quarter is strongest of the four quarters. And we so far we have seen that. Although the market in Brazil for resins was down 3% when compared with the first semester of 2013. So year-to-date versus year-to-date 2014 to 2013 it is down 3%. But we still forecast some recovery in a way that we finished the year with neutral. This likely paused the demand when compared to 2013. So eventually the same demand or hopefully something is more like 1% better. GDP growth in Brazil at this point is forecasted to be likely below 1%. So that also means that demand we are forecasting demand somehow in line with GDP growth. Regarding the other factors, important factors for the result in the third quarter what I can tell you so far is that international spreads seem to be okay, I would say in line. Hopefully a little bit better but I don’t have anything consistent to say that’s it’s going to be better. We’ve seen naphtha prices going down, petrochemical prices our end products have yet to go down but typically they would after a short period follow the naphtha price. So something inline, so in terms of spread you see something inline between the third and second quarter, hopefully a little bit better with the expectations.
Unidentified Corporate Participant: Exchange rate is relevant to us. The Brazilian real got stronger, what is bad for Braskem. And our local cost ends up into later in more U.S. dollars our local denominated cost. But what we saw over the last week was the Brazilian real losing some debt. So I think it moving from R$2.23 per US dollars to around R$2.29 per dollar. It’s not a huge movement but it is in the right direction. So that another thing. So it may continue demand spread, and also exchange rate. On the production side we don’t see any material change although we have a plant maintenance stoppage at our cracker in the state of Sao Paulo we don’t see that effect materially the third quarter. Regarding to the gas market in Brazil, I think we have to differentiate natural gas from ethane and propane. The overall mix of natural gas that as you know is more methane that anything else had, at the end of the day has its price set by Petrobras that is by far the largest producer. When you talk about petrochemical products like compare we are not talking about the price of natural gas meaning as I said mainly methane. We are talking about ethane and propane prices. So Petrobras will have what they say to us that they’re going to have relevant additional gas volumes going forward as they explore the presalt reserves in Brazil. At a certain point in the past the business plan is a public document, they’ve published it. Their business plan indicated that the offer of natural gas and therefore availability, production of gas would more than double between now and the end of the decade. So as they grow the production of gas, naturally they are going to have more ethane and propane. So discussions on [Compass] we’ve overrun how much is available and whether they can make that available for the petrochemical use at international prices. So what we are trying to achieve with Petrobras is an agreement to have gas, by gas again I mean mainly ethane, propane, available at international reference price, it will not make any sense to try to do it at the chemical complex, at the same time that we are doing with international price in the U.S. and Mexico compares would not be that different. So in the end it’s less about the price of natural gas and more about the price we can agree with Petrobras on mainly methane, eventually propane. Butane is not out of the figure, but we are now saying that ethane and propane will be main attractions, the main molecules we would be looking for.
Frank McGann – Bank of America Merrill Lynch: Okay if I can follow up maybe just in terms of comparison how are you seeing that project with Mexico and the potential U.S. project which seem that your play is fairly full for the foreseeable future. Does that mean compared it’s less likely say over the next four to five years or you’ve done simultaneously with some of these other projects?
Carlos Fadigas: Frank, regarding Mexico we’ve crossed the 75% operation at this point. So this – production of the product should be between the end of this year and 2015. We’ve been successful so far. I actually have, I think we have a good track record in terms of news projects. We built four plants in Brazil between 2008 and 2012. The [T] plant, our Great T plant, PVC plant and butadiene, they all were on target both in terms of cost and schedule. Now the challenge is bigger, naturally building petrochemical complex is different than building a PP line but so far so good in Mexico. So I don’t think that what could prevent compares should be brought on screen earlier what I wouldn’t say that we could present comparison with the competition let’s say for capital or for focused energy resources of the company, we could do both of them at the same time. Our shareholders [inaudible] is by far the largest engineering company in Brazil, so doing compares would not a challenge for them. They are working on refineries and other things, larger things in Brazil. So having compares wouldn’t be – at the same time as we built our asset would not be a challenge. The challenge with having compare I think is much more associated the certainty at which the country and Petrobras has about the availability of methane and propane going forward and whether we can agree on the price of raw material that makes sense for building this petrochemical component. So I do hope that we come to a position where we have the right – all the stars are aligned should be able to start comparing and if it happens at same time that we have the same thing for us. Naturally it’s a threat but it will not prevent us from doing both at the same time.
Frank McGann – Bank of America Merrill Lynch: Is it something that could be defined fairly soon you think or is it you might take a year or two?
Carlos Fadigas: I think it’s going to take a year or two. If I have to choose between the two options fairly shortly or between one [inaudible]. We had an election year, we have discussions about the naturally all the uncertainty around the evolution of the production of oil and gas and that’s not just [Petrobras] and as far as I know when I go – to my calling that Exxon Mobil will more built chemicals and they say that they have the same direction with the exploration production teams and it’s a constant, it’s constantly evolving. So I think it’s going to take us more time than we thought it would take us. It has proved to be a bigger challenge.
Frank McGann – Bank of America Merrill Lynch: Okay thank you very much.
Operator: Mr. [Fernando Ferris from JBM] would like to make a question.
Unidentified Analyst: Hi good afternoon. I got two questions if I may, the first one is regarding to Solvay Indupa I was wondering if you can grant our Argentina situation fixed ranking regarding the acquisition and particularly on these do you have any plan regarding the Petrobras supply contracts, thank you?
Carlos Fadigas: Okay Fernando regarding Solvay Indupa, we announced the acquisition in December. Right now we are discussing this transaction with the Brazilian Anti-trust Agency and with the Argentinian Capital Market Agency ACMA. It’s progressing. The Brazilian Anti-trust Agency has until the December period to reach to a final opinion. A preliminary opinion from the technical team was against the acquisition saying that would bring too much of a consolidation concentration in the market. We have very hard evidence that it’s not the case and we are going to present our case to the advisors, to the higher body of the Anti-trust Agency in Brazil and we remain confident to get that approval. Regarding the attractiveness of this acquisition in light of the current situation in Argentina we remain very much interested in buying these assets. Argentina has been an important market for Brazil for more than 20 years. We have a presence there and right now with all the discussions and all the issues around the external debt internally, price and profitability are good. We do not have the right managed [inaudible] of the project, we haven’t closed the transaction but we have the right to close follow the performance of the company and we know they have been performing well, especially the Argentinian piece of the business. So to summarize this long term, it’s a long term investment in a market that has been for a very long term relevant to us. It’s an interesting asset. It has a good synergy. We have a good, truly especially in Brazil but also in Argentina was our exports from Brazil to Argentina and the business is doing good, it’s doing okay. And maybe to finalize I think we signed a contract on a price point that reflects the risks associated with the environment in Argentina. So it’s pricing already to a certain extent, if not right well priced but that’s my perspective. Regarding the naphtha contract with Petrobras it was – it finished in February this year. It was renewed for six months and we are in discussions with Petrobras to try to come to an agreement between now and the end of this additional period. We have not yet finalized, at the same time discussions are still going on. I mentioned on the conference call in Portuguese that we have a team in Rio Di Janeiro where Petrobras has its headquarters. Today just to give an example the discussion are still going on. There are alternatives on the table and we are trying to strike a balance between both points of view. What I can also tell you is that the fact that we are coming close to the end of this additional period may work in favor of the discussion. Both sides know that we have to sign some kind of agreement. Both Braskem and the Brazilian petrochemical sector are very relevant to the Brazilian economy. We supply most of the chemical companies in Brazil. They by their turn supply a lot of manufacturing plants in Brazil with additives, lubricants, fuels, coating, paintings, adhesives and everything else. So it’s a very, it’s an industry that’s on the very base of several value chains and we know the responsibility we have. So we are working very hard. I can’t comment much more on that, but what I can tell you is that we are working as hard as we can to get the results.
Unidentified Analyst: Thank you very much.
Carlos Fadigas: Thank you too.
Operator: Mr. Christian Audi from Santander would like to make a question.
Christian Audi – Santander: Thank you. Hi Fadigas. Couple of questions, the first one in terms of the Mexican project. Could you just give us an update on the timing and also when you started, at what level of production you expect for the first year of the project? And the second given this continually weak demand and you already have explained and talked about, have you had from a pricing point of view had to do a lot of discounting of your product since the discussion that some of the price increases that I remember you had in the year have had to go back and I am more focused on going forward for example in July. Have you had to on the back of weak demand give price rate for customers? Thanks.
Carlos Fadigas: Good question. Let me start with the second question. Yes we saw a weaker demand in the second quarter as we announced it was a weaker one. It did not have an impact on price. Our policy for pricing is relevant, is true for international prices. So the vast majority of these deals are maybe in Brazil. The Brazilian prices are – follow international prices. So regarding sales in Brazil that demand naturally is a local factor and depends on the demand from the – our customers in Brazil. But price is a global factor... So we may like we had in last quarter a weaker demand but price is related to international price and therefore it spreads better than what we had in the second quarter of last year. So weaker demand year-over-year, better spreads year-over-year, so that’s the dynamic. Regarding Mexican projects the targets for the third quarter of 2015 there is a lot of things to be done throughout the initial three quarters of the next year. There is a pre-commissioning phase. The first thing that we start is the utilities. So it seems water, treatment of the waste water and other things. After that naturally comes the cracker and then the polyethylene line. So that is going to keep us busy throughout the first quarters, three quarters of the next year. I do not have an exact forecast to give you at this point for the operating rate for the rest of the 2015 and for 2015 for 2016 as we are going to be steadily ramping up. We are going to work on that as we get closer to the start-up and we are going to see if I have something for the next call 90 days from now. I am going to, it’s a good question, going to stress our Mexican teams [inaudible] but we do have a plan already but it’s not I mean a focus right now to stress that. We are focusing most of our energy in building the cracker. What we are also doing at the same time is the marketing. If we exclude Pemex, that is the only local producer, we are the third largest seller of polyethylene into the naphtha market at this point, although we have no production at this point but we are buying resins in the market and we are selling from Brazil into [Pemex] polyethylene. We have had faced more than 200 customers so we already have a pretty good idea of the market there regarding which kind of grades the customers use, which kind of machines they run. We have proven credit so we can sell to them from day one that we have the complex running. But I’ll come back to that point when we discuss the next part and we talk about ramp up for the next big project in [‘16].
Christian Audi – Santander: Thanks. Just one follow-up this is a more general question. Given that it is such a large company servicing all different sectors of the Brazilian economy, when you think about how much visibility you have to the future in terms of backlog, in terms of contracts already signed, what would you say in your view is the length of visibility that you have with good assurance of your business, is it three months, is it six months, is it nine months, particularly in the very volatile macroeconomic situation in Brazil. What you say in general, what you feel comfortable saying that you have, how much visibility of your business?
Carlos Fadigas: Christian the first comment I would make to you is that the visibility for the Brazilian economy has been low over the last couple of years. My perception is that time that we had better visibility, not only Braskem but overall, and in the last years we’re a bit frustrated in terms of how capable we were of predicting the future and GDP growth. Just to give an example, for the last two or three years we’ve started, ever single year more optimistic than what really happened in terms of GDP growth. And that’s also the case for 2014 and we had when we did the budget for ‘14 and even right now for ‘15, we took into consideration a GDP growth of roughly [6.5]. I don’t have the exact figure in my mind rights now. But that was the view, the general view of the market at this point and right now it’s 0.86% on the – Brazil. So really visibility has been coming down over last year. I don’t know how it’s gone be in the future. When I look now for the next quarters I think we have a reasonable view of what is gone happened there over the 90 days but specifically right now because we are very close to a Presidential Election and that could have impact on economic policies. I think it’s reduced the visibility there. We may have a change the regardless of who is elected. Even the current President, Dilma Rousseff tried to change the macroeconomic policies of the country. Naturally if we have a change on government that macroeconomic policies could change even further. So I think we have to wait a little bit more to October to getting in a better perspective of macroeconomic trends in Brazil. What I can tell you also is that for the second half of this year we see agriculture have a good performance, hope that sustains what the good performance it’s had right now. But some other sectors, automotive is not having a good year as you know. And we don’t expect it to change dramatically now. Infrastructure construction, also same thing, not a great year and I think about how appliance, house appliances and some other segments it’s the same thing. I mean things are in line with what we see in the economy. Generally there is a slower pace of growth. So that’s all we’ve being seeing so far. I hope I have answered your questions.
Christian Audi – Santander: No, no, very well. Thank you very much for the level of detail, appreciate it.
Operator: Thank you. I will turn over to the company for closing remarks.
Carlos Fadigas: Well I’d like to thank you all again for participating in the call and the interest. My two comments; first one is as you can see we are having a challenging second half and the challenging year in Brazil right now. Our main operations are with low economic activity and some uncertainties around the raw material price and energy. We are very much focused and guaranteed we have the right position. Hopefully we can deliver much more energy for the company as we also work hard to keep market share and increased profitability in Brazil. And my second comment has to do with all the investments you are making to create an additional user base for Braskem based on very competitive raw materials. So that has – that’s where the next compare at a certain point compare us and the UTEC investments are relevant. And we are very much focused on making sure we move most of these projects ahead so we have a more competitive production base in Brazil. I’d like to thank you again for participating and wish you all have a very good weekend. Bye-bye.
Operator: Thank you. This concludes today’s Braskem year-end conference call. You may disconnect your lines at this time.